Operator: Hello, and welcome to the today's Tyler Technologies’ first quarter 2013 conference call. Your host for today's call is John Marr, President and CEO of Tyler Technologies. At this time all participants are in listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. And as a reminder, this conference is being recorded today, April 25th, 2013. I would like to turn the call over to Mr. Marr. Please, go ahead.
John Marr: Thank you, Sue. And welcome to our first quarter 2013 earnings call. With me on the call today is Brian Miller, our Chief Financial Officer. First, I'd like for Brian to give the Safe Harbor statements, next I'll have some preliminary comments, Brian review the details of our operating results, then I'll have some final comments and we'll take your questions. Brian.
Brian Miller : Thanks, John. During the course of this conference call, management may make statements that provide information other than historical information, it may include projections concerning the company's future prospects, revenues, expenses and profits. Such statements are considered forward-looking statements under the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995 and are subject to certain risks and uncertainties which could cause actual results to differ materially from these projections. We refer to you your form 10 K and other SEC filings for more information on those risks. Please note also that that all growth comparisons we make on the call today will relate to the corresponding period of last year unless we specify otherwise. John. 
John Marr : Our first quarter financial performance builds upon improved performance in 2012 and was our ninth consecutive quarter of yearoveryear revenue growth, as well as our 48th consecutive profitable quarter. We had organic growth of almost 12% and total growth of nearly 16%. Our recurring revenues from subscriptions and maintenance continue to be the primary driver of our growth as together they grew almost 20% and represented approximately 62% of total revenue for the quarter. Also, license and royalty revenues were up almost 17% over the last year, primarily because we recorded $891,000 of royalties from Microsoft Dynamics AX sales. We are encouraged by the increase in royalty revenues this quarter, which exceeded the amount recorded for the entire year of 2012. Averaging our recurring revenues led to an increase gross margins of 60 basis points and our nonGAAP operating margins grew 350 basis points and 19.5% as we held the increase of SG&A expenses and R&D expenses below our overall revenue growth rate. Bookings in the first quarter grew 36% over the last year. New contact signing were solid across all our software products suites while the appraisal services market was somewhat slow. The growth in bookings reflects a continued gradual improve in the broader marketplace. But we believe it is more attributable to the strength of Tyler's competitive position, including our cloud-based offerings. During the quarter we signed an agreement with the State of Rhode Island Judiciary for our Odyssey Integrated Courts and Justice solution. The agreement is valued approximately $6 million and will generate attractive recurring revenues from both maintenance and e-filing. Rhode Island represents our ninth statewide client for Odyssey Our ERP solution had a number of meaningful wins across the country ranging from the City of Palace (inaudible), California to (Inaudible) Florida. Our EnerGov planning, permitting and licensing solutions which we acquired late last year also has an active pipeline in Q1 contracts where our newest addition include the Cities of Jupiter, Florida and Temecula, California. Now I'd like for Brian to provide more detail on the results for the quarter.
Brian Miller : Yesterday Tyler Technologies reported its preliminary results for the first quarter ended March 31st, 2013. You've seen the press release and our 10-Q has been filed and so I'm going to comment on some of key metrics for the quarter. Beginning last quarter we added additional nonGAAP measures that we believe facilitate understanding of our results and comparisons with peers in the software industry. Our nonGAAP earnings exclude share-based compensation expense and amortization of acquired intangibles. A reconciliation of GAAP to nonGAAP measures is provided in our earnings release. Also beginning this quarter, we have included the Dynamics royalty revenues in software licenses and royalties line. These were previously included in hardware and other revenue and prior year amounts have also been reclassified for comparability. Total revenues for the first quarter were $95.8 million, a new quarterly high up 15.8%. Organic revenue growth was 11.5% lead by increases in our recurring revenues from maintenance and subscriptions, as well as growth in our software services revenue. Our acquisitions accounted for revenues of $3.5 million or 4.3 percentage points of growth. Software license and royalty revenues increased 16.8%. Excluding the impact of acquisition, software licenses grew 10.3%, most of which is attributable to the increase in Microsoft Dynamics’ royalties. Software license and royalty revenue included $891,000 of royalties on public sector sales of Microsoft Dynamics AX by other Microsoft partners compared to $121,000 in last year's first quarter. These royalties are recorded one quarter in arrears as the royalty reports we receive in a given quarter pertain to sales made in the previous quarter. In addition, we had approximately $272,000 of revenues related to Tyler's direct sales of Dynamics, which are included in software licenses and software services. In general license revenue growth continues to be pressured by the increasing percentage of new customers collecting a subscription-based arrangement. Subscriptions continue to be our fastest growing revenue line and grew 35.2%. Organic growth was 33.7% and the impact of acquisitions added 1.5%. We added 22 new subscription-based arrangements and converted 19 existing installed clients compared to a total of 11 new arrangements and 17 conversions in the first quarter of 2012. Approximately 36% of our new software clients opted for one of our cloud-based solutions compared to 22% of new clients in the first quarter of 2012. The subscriptions line also includes growing revenue streams from transaction-based revenues such as e-filing for courts and online payments. These revenues rose 34.4% to $3 million from 2.2 million last year. We expect to continue to see solid growth in these revenues as both current and new clients adopt our Odyssey file and serve solution and more of them move towards mandatory e-filing. Software services revenues increased 10.4% with 5.9% organic and 4.5% from acquisitions. Organic growth was primarily driven by the higher level of bookings in the recent quarters. Maintenance revenue growth was 15.6% of which 10.5% was organic. Our maintenance revenue growth rate continues to be reduced somewhat by the effect of existing installed clients converting to our hosted offerings, which results in a loss of maintenance revenue offset by a larger increase in subscription revenue. Together our recurring revenues for maintenance and subscriptions comprise 62.1% of our total revenues and grew 19.5%. Appraisal services revenue declined 1.6%. Our blended gross margin for the quarter as 45.8% compared to 45.2% last year. The software license and royalty margin increased 190 basis points primarily due to higher royalty revenues and the blended software services maintenance and subscriptions margin increased 30 basis points reflecting our operating leverage in incremental recurring revenues. However, these increases were offset somewhat by a decline in the appraisal margins. SG&A expense increased 6.1% in the quarter and represented 23.6% of total revenues, a decrease of 220 basis points from last year's first quarter. Non-cash share compensation expense was 2.6 million compared to 1.8 million a year ago. $336,000 was included in cost of revenues and 2.2 million was included in SG&A expense. Net research and development expense was 5.6 million compared to 5.1 million last year. We did not receive any R&D expense reimbursements under our agreement were Microsoft in the first quarter of 2013 or 2012 and we do not expect to receive any further reimbursements under the agreement. Operating income was $14.5 million compared to 10.0 million, an increase of 44.1%. NonGAAP operating income was 18.7 million, up 41.5% from 13.2 million. The nonGAAP operating margin was 19.5% up 350 basis points from 16% last year. Net income was $8.5 million or $0.25 per diluted share compared to 5.7 million or $0.17 per diluted share. The fully diluted share account increased by approximately 1.4 million shares and our effective tax rate 39.9%. NonGAAP net income was 11.5 million or $0.34 per diluted share compared to 7.9 million or $0.24 per diluted share in the first quarter of 2012. Adjusted EBITDA, which is EBITDA plus non-cash share-based compensation expense was $20.2 million or $0.60 for diluted share, an increase of 37% compared to $14.8 million or $0.45 per diluted share in the first quarter of 2012. Free cash flow was $12.0 million compared to $17 million. Excluding real estate CapEx, our free cash flow was 14.9 million versus 17.1 million. Day sales outstanding in accounts receivable of 72 dates at March 31st, 2013, compared to 64 days at March 31st, 2012. CSOs decreased sequentially from 95 days at December 31st, a normal seasonal pattern as maintenance billing and associated receivables spike in the December and June quarters. Our backlog at the end of the quarter reached a new high of $386.6 million up 16.4%. Backlog related to our software business, which excludes backlog from appraisal services contracts with 360.9 million at 17.3% increase. Backlog included $111.9 million of maintenance compared to 98.5 million a year ago. Subscriptions backlog was 97.3 million compared to $67 million a year ago. Our bookings for the quarter, which are calculated from the change in backlog, plus revenues, were up 36% to $102 million. For the 12 month ended March 31st, bookings were up approximately 10.8% over the prior 12month period. We signed 11 new contracts in the first quarter that included software licenses greater than $100,000 and those contracts had an average license of $418,000 compared to 12 new contracts with an average license value of 503,000 in the first quarter of 2012. Our total head count grew by 18 to 2,406 employees at the end of the first quarter compared to 2,388 at the end of the fourth quarter 2012. We currently expect to add approximately 180 additional employees before the end of this year. I'd like to turn the call back over to John for his further comments.
John Marr : Thanks, Brian. This was a solid quarter. Overall results were generally in line with our expectations. A local government market environment is good, although not robust. It appears to be continuing a trend of gradual recovery. As I noted earlier, our competitive position is very strong across our major products and we are very focused on maintaining that market leadership. Next week, over 2,000 Tyler clients will join us in Boston for Tyler Connect 2013, our annual user conference. We expect that this will be our best attended conference to date. Over three days our clients will learn more about Tyler and our products, including our current offerings and our future plans. The conference includes over 500 classes and product demonstrations that allow our clients to improve their skills as well as many opportunities to interact with other clients, as well as Tyler staff and business partners. At Connect we will hold a session for investors and analysts from 10:30 a.m. Eastern Time to 1:30 p.m. on Monday April 29th. A live and recorded webcast of this session will be available on the Investor Relations section of our website at TylerTech.com. If you're interested in attending in person, please contact Brian Miller to register. While our existing, and in most cases, more mature products are performing very well and are responsible for the majority of the growth we're currently experiencing, there is obviously a great deal of interest among our investors in some of the longer-term growth opportunities. I'd like to provide an update on some of those opportunities and then update our guidance 2013. As we mentioned earlier in the call as well as on our year-end earnings call in February, our royalty revenues from Microsoft increased substantially this quarter. Royalties totaled $891,000 up from $238,000 recorded in the fourth quarter. These royalties were generated by approximately 27 public sector sales of Dynamics AX in 19 different countries. Almost half of the royalties were from one large sale to a federal agency in Indonesia. Deals of this size may not occur every quarter. Our history is still relatively short as we only have been receiving royalties for five quarters, but we are encouraged by the increase in the number of customers as well as geographical reach of Dynamics and success in larger deals is something we and Microsoft expect will continue to build. Our pipeline of Dynamics opportunities through our direct channel also remains active and we have two additional awards that are not yet signed, including one of more significant deals that was one of our early Dynamics’ proposal. Our Courts and Justice business also has some longterm opportunities. We continue to build on our leadership position in case management software with Odyssey and the new statewide contract with Rhode Island signed this quarter. We now have nine statewide court clients and have won every statewide decision since 2010. We also have an active pipeline of opportunities with counties in states that do not have statewide systems. As we've discussed in some length in prior calls, California has emerged as a market to present some significant longterm opportunity for us. It’s courts in many of it’s states, 58 counties, are expected to replace aging systems following the termination last year of a project to develop a custom statewide case management system. We are now underway with implementation of your first California client, (Inaudible) County. At the end of Q1 we have signed a contract with our second California client, Kings County, which will be SaaS implementation under a fiveyear agreement and also includes transaction-based e-filing. In addition, we were one of three vendors selected to enter into a master service agreement under which courts in the state can purchase systems without going through the RFP process. We expect our MSA to be signed in the very near future and are actively engaged with a number of prospects that we expect to purchase systems under the MSA. We are encouraged by our initial success in California, but we continue to do this as a longterm opportunity that will likely be realized over a number of years. These processes, especially the larger ones, can be lengthy and complicated, and we are investing this year in development efforts related to the California market, as well as incurring costs related to increased sales effort in the state. Our electronic filing business for courts known at Odyssey File and Serve is another area in which we are making significant investments this year. We are very actively working on the Tex file project, which is a contract we signed last year to provide a statewide e-filing system for Texas courts. By order of the Texas Supreme Court, e-filing will be mandatory in civil cases beginning with the largest counties in January 2014 and then phased into other counties over a two-and-a-half year period. As with most of our new e-filing arrangements, these is will be transaction-based revenues with users paying a per-filing fee to us. We expect to expend more than $3 million this year on Tex File implementation with very limited revenues expected in 2013. However, we expect this contract will provide a longterm revenue stream with more than $15 million annually when fully implemented. We are also pursuing a number of additional e-filing opportunities with current Odyssey clients, as well as with courts that do not use Odyssey. With each new e-filing contract we will incur costs ahead of revenues, which may put shortterm pressure on margins, as is the case this year. We believe these recurrent transaction-based revenue streams will contribute significantly to revenue and margin expansion in the coming years. Our guidance for 2013 is generally consistent with our initial guidance of the year provided in February. We currently expect 2013 revenues to be between 409 and $418 million. We expect 2013 diluted earnings per share to be approximately $1.06 to $1.14 and fully diluted shares for the year are expected to be approximately 34 to 34.5 million. We expect 2013 nonGAAP diluted earnings per share to be approximately $1.42 to $1.50. Over the year estimated non-cash share-based compensation expense is expected to be approximately $11.5 million. We estimate an effective tax rate for 2013 of approximately 40%. We expect our total capital expenditures will be approximately 24 to $25 million for the year. Capital expenditures for the year include approximately $15.5 million related to real estate and office facilities under construction. Old depreciation and amortization is expected to be between approximately 14.2 million and 14.7 million including approximately six and a half million of amortization of acquired intangibles. Now we take your questions.
Operator: (Operator instructions). The first question comes from Nathan of Roth Capital. Please go ahead.
Nathan Schneiderman – Roth Capital Partners: Hi, John and Brian. Thanks very much for taking my questions. Let me just ask a couple of quick ones. John, you said that you feel your competitive position has improved. What specifically can you share with us to make you say that and I'm just curious if for example there's been a change in win rates and if so, to what magnitude are you looking at other data so what can you share with us there?
John Marr: Sure. This really goes back to, kind of characterize this before that 2010, 2011 were pretty tough years in the market place based on the environment and a lot of companies cut back significantly on their R&D and their investment and some companies literally probably moved from an active new business company to maybe more of a legacy company. A number of companies went through combinations, companies that were acquired or merged into other companies and aren't the same in the new business market. So, while we had very limited growth one year very was pretty much flat one year, low growth in that period of time, we continue to invest and the competitive position of these products reflect that now. We don't want to necessarily publish our own competitive data entirely, but to answer your question, yes, pretty much across the board our win rates directly against specific competitors that we track and more broadly across the market place have improved.
Nathan Schneiderman Roth Capital Partners.: And just one follow up, you had mentioned with respect to the California opportunity in the 58 counties that are out there you've went to, but you mentioned that you're actively engaged with others that are considering systems. I was wondering if you could share with us maybe the number of these counties you're currently engaged with. I guess the same question more broadly about the E filing opportunity, how many E filing prospects just overall California and otherwise are you engaged with? And that does it for me with questions. 
John Marr President: : Sure. Well I don't know I can't give you a specific number. Obviously, there's people you've had phone calls with and people you've done demonstrations for they're all prospects, but at different stages, obviously. There's 58 counties, there certainly are tons of them that are ready to make choices, it would be mid to high single digit kind of thing that may be people, obviously (Inaudible) processes and purchasing systems ahead of that and is maybe one or two others that are engaged in processes ahead of the MSA. And again, whatever five to eight that maybe are sitting on the sidelines and waiting for that to get in place so they can utilize that to purchase of systems. So, that may be again eight, 10, 12 that are actively processes at this point in time. Obviously, a good number beyond that are taking longer to get well into the process as would expect in future years. And then on E filing it's a few. These are all pretty good size deals. All of them individually at least to that division within Tyler move the needle a little bit, but they may be three, four, five meaningful opportunities. I don't think any of them are the Tex File size that's kind of outside deal for us, but all reasonably meaningful on their own.
Nathan Schneiderman Roth Capital Partners.: Thank you very much.
Operator: The next question comes from Tim Quillin of Stephens, Inc. Please, go ahead.
Tim Quillin – Stephens, Inc: Good morning. Nice results. Talk about the Texas E file a little bit more. I guess, first of all, just in terms of the $3 million in spend is that weighted towards any quarter? And then when you start the first revenue in January how and you mentioned it kind of phases in over two and a half years how exactly does it is it a little bit front end loaded and then a gradual ramp up or kind of how exactly does it phase in?
John Marr: Yes. Sure. Yes, no question the investment and building up the infrastructure and the team that will support that project. It has clearly started, but heads and capital investments will continue. So it will build somewhat throughout the year. It's in the plan and pretty much as expected. Maybe make that a little more robust since the beginning of year in terms of just the reality that we really see this coming at us pretty quickly. So, but again, mostly in the plan and nothing really new there. There are some revenues in the plan that you mentioned January. We don't expect it, law offices come to work on January 2nd and just all the sudden start filing things. So, they'll be some ramp up later this year, but that's a little uncertain just how much of that will occur, but we have some revenues in our plan anticipating that, obviously, people will start using the system and easing into it in the latter part of this year. As we mentioned on the call it's the larger counties that were mandated first. So, yes, it will kind of spike up significantly beginning next year maybe in a ballpark way maybe twothirdsish of what the project ultimately will produce, but that run rate should be pretty much on only a few months into next year that we should be at again maybe a run rate of around twothirds of what they will ultimately produce and then the rest of those small counties will build off the balance over a period of two and a half years.
Tim Quillin – Stephens, Inc.: Got it. And just want to confirm that in terms of numbers that at peek it would be more than $20 million or $20 million plus, so twothirds that you could get in 2014 would be $14 million plus. And then if could you talk about the Microsoft royalties even excluding your largest sale, obviously, you had a big jump up in the levels of royalties. So, encouraging sign, obviously. So, would you still expect perhaps it could drop down to the 4Q levels or do you feel like you're at a new run rate and feeling relatively good about continued growth from here. Thanks. 
John Marr : Sure. I think the 20 million would be on the high end of the range that we'd estimate that this would eventually perform at. So, you might want be cautious with that. You might want to use 16 or 18, in fact, back into it from there. I think 20 would be on the high end of the range. In terms of Microsoft deals, yeah, we obviously we'd like that quarter it's certainly not a game changer. We didn't expect it would have an explosion I think we've been cautious to guide people that way. We'd like to see nice gradual building of that. Some quarters will ramp up and it could slide back up a little bit. I think it probably be very disappointed not to say you one have a bad quarter here or there I wouldn't read too much into it, but I think it probably shouldn't fall back to that level. You're building a customer base too, right. So, is recurring revenue now being realized through that so we should start to see a base of even recurring revenue with baseline of new license sales that I think should be consistently above what we saw in Q4. So again, if you see a quarter like that I wouldn't react to it that would be on a very low end of ongoing run rate range if you want to look at it that way. Yes, we're happy with the quarter, because it really included the things we're looking for, a number of customers was significant, the geographical reach was significant, which I mean we've got partners in their own channels engaged around the world really involved in that. And having a single big deal you could say doesn't reoccur necessarily, so I wouldn't necessarily break that number as a run rate, but it is also good to see that this is what we want. Tyler has its own direct business, its own proprietary products, its own channel with Dynamics here and domestically, but winning a significant tier one deal, if you will, against tier one players in geographies that we have absolutely into exposure on our own is part of what we were trying to accomplish with the Dynamics opportunity. So, I think that was the good quarter. It's probably a little hot to think of it as a new run rate, but I would not expect it to fall all the way back to where it was in Q4.
Tim Quillin – Stephens, Inc.: Right. Good stuff. Thank you.
Operator: The next question comes from Brian Kinstlinger of Sidoti & Company, LLC.
Brian Kinstlinger Sidoti & Company, LLC : Good morning, guys. The first question I had is related to Kings County in California. In general, first of all, is there a mandate at all in Kings County or anywhere in California that we should look at? And do most counties there have viable E filings software or will most also eventually need E filing software in your opinion?
John Marr : Yes, there is not a statewide or a heavily adopted E filing system. It is not broadly mandated throughout California. And it's not in this first cut of every deal we're looking at. I think a lot of these people have very old systems and they were waiting on the state system. And now that that's not going to occur I think there is going to be a kind of a process with priorities here that they need to get their case management systems replaced. Obviously, these arrangements or these clients change dramatically when E file is involved, so we'll advocate that and encourage it. And I think just have to think that really all major courts in the country will have E filing solutions in years to come, but I think we'll see an order there where some included initially, but some will put it off simply because they have to make it a priority to replace their case management system. 
Brian Kinstlinger Sidoti & Company, LLC : Right. And then I just want to follow up on California, when the MSA gets signed do you think that's going to trigger a handful of counties to hurry to up and make decisions, are they waiting for that? And then my final question I'm get back in the cue is 180 people you're hiring is that weighted any specific time in the year?
John Marr: I think the MSA I don't want to say its get signed and we take four orders the next day, but yes, I think there are a number of places that we're talking to that just have not run a process because they anticipate ordering off the MSA, so I think they will be a few of those. Now, so far you've seen the first two deals are not real big counties or real big deals and that seems to be the case. The bigger counties in some of those counties in California are, obviously, as big as some of the statewide deals we've done those are going along at a slower pace.
Brian Miller: The staffing ramp up most of that is in Q2 and Q2, probably fairly evenly split between those two probably a little more weighted towards Q2 a lot the of Tex File hiring will take place there's plans for Q2. Typically, we don't necessarily get it all done as exactly as it's planned, but it would be pretty heavily waited towards two and three.
Brian Kinstlinger Sidoti & Company, LLC : Thank you. I'll get back in the cue.
Operator: The next question comes from Scott Berg of Northland Capital Markets.
Scott Berg – Northland Capital Markets: Hi, John and Brian. Congratulations on a strong bookings quarter. One question for John, one follow up for Brian. John, on the deal flow on the quarter you made the comment that 36% of your customers chose subscription contract versus only 22% in the first quarter of '12. It's, obviously, a pretty steep jump and even a larger jump in what the second half of '12 saw; in your guidance are you assuming a same type of customer percentage choosing the subscription revenues or is that going to vary from that 35, 36% level throughout the rest of the year?
John Marr: I think the adoption of SaaS and cloud based solutions has moved capital a lot of years we've been operating systems for over 10 years and really hung out in the 10, 15% adoption range for a number of years as you said moving 20 last year and now this particular quarter around 30. It's clearly moving along. Now, whether it says at 30 or drops back, it's gradually, not so gradually building and you would expect that to happen. I would say while we didn't change guidance because we were comfortable within the brackets we have that that adoption is higher than was in our plan. So, the license numbers are a little lower than what we might have expected, but still significantly above last year in the total revenue that's a big part of the reason it was only marginally off expectations, but obviously marginally lower overall revenues somewhat lower revenues in favor of the adoption of SAS. Again, it's running a little ahead of plan, we certainly bed happy if it continues to grow from there and if it slides back I think we are seeing a more sustained adoption of that. The public sector slow to move and embrace these things, but I think we're seeing it although behind the commercial rate it's clearly happening.
Brian Miller : One thing I would point out too is when we talk about that 36% of new customers that's the number of new named customers. On average the SAS deal tend to be a little more towards the smaller size. So, if you look at the split in the dollar value the new contracts it's more like 26% of the total dollar value is subscriptions versus about 20% last year. So it's not quite as heavily weighted on the dollars as it is on the names.
Scott Berg – Northland Capital Markets: Great. Thank you for the initial commence there. And then, Brian, on my follow-up, SG&A claim in a little bit lower than what I was estimating at least in the quarter and as a percentage of revenues lower than your last four or five quarters kind of in general; is that kind of new runway for the rest of the year or does the spike in the Texas or the additional hiring kind of drive that up to a higher run rate starting in Q2?
Brian Miller : In terms of revenues to be ramping through the year as well so in terms of absolute dollars we do expect SG&A to ramp during the year, but in terms of percentage of revenues we don't, we expect it to be at a lower rate than last year as we generate some of the we recognize some of the leverage there. Relative to Q4 there were it actually was down a bit. We had a higher incentive comp as sort of the catch up in Q4 of last year that's not there in the first quarter of this year and also some of the marketing expenses are more heavily weighted towards out of the first quarter into the last three quarters. See a little bit of ramp up in absolute dollars as well and commissions were actually lower in Q1 as a result of mix of revenues and people hitting their quotas in Q4 spiked commissions up a bit in Q4. So, as a result Q1 probably a little bit lower than we expect in terms of absolute dollars over the year, but we do expect to see a nice decrease in SG&A percentage of revenues.
Scott Berg – Northland Capital Markets: Great thank you.
Operator: The next question comes from Daniel Cummins come of B. Riley. Please, go ahead.
Daniel Cummins – B. Riley & Co.: Thank you very much. A couple of questions, please. First, I don't know if I heard organic estimate on the growth rate for bookings.
Brian Miller: We didn't break out.
Daniel Cummins – B. Riley & Co.: Rough numbers of range perhaps.
Brian Miller : I'll get back to you on that in just a second.
Daniel Cummins – B. Riley & Co.: Okay and with respect to the maintenance, the maintenance revenue base, right now how much is related to your court business and how much strength does the maintenance base perhaps get from your momentum in courts? As you said there's about a five point difference between the reported and the organic on the maintenance line, when does that settle down towards the 10 to 11% level? Thanks.
Brian Miller : Courts historically have a lower maintenance as a percentage of their total revenue and that is improving as we have these new customers and they come online. And we're seeing significant increase in maintenance in the courts and justice business. Also the acquisitions we've done that we did back in at the end of 2011 with Windsor and then the follow-up acquisition at the beginning of 2012 were more heavily weighted toward maintenance and revenue mix was more heavily in the maintenance field than in the new business market. So, we're still seeing that in the mix of growth there. The new acquisitions in terms of the backlog or the bookings this quarter didn't really add a lot. EnerGov had a couple of deals that were pretty meaningful, but the mix of the new bookings was more organic than the revenues. So, I would say it's more heavily weighted towards organic growth there.
Daniel Cummins – B. Riley & Co.: Fantastic. Thank you, Brian.
Operator: The next question comes from Mark Schappel of Benchmark. Please, go ahead.
Mark Schappel – Benchmark: Hi. Good morning. John in the past I believe Tyler was was winning somewhere between 80 to 85% of your competitive court deals. I was wondering if that trend held up in the quarter?
John Marr : Yes. In fact, as we mentioned on the call statewide deals we've been on a run since 2010. So, haven't lost a statewide deal in really haven't lost major county type deals over the last few years. So, it's definitely at least at that run rate now. It could be some smaller deals that we don't scale down into or generally the deals we're not winning are not really in our sweet spot.
Mark Schappel – Benchmark: Okay. And with respect to your courts business what is that running with as percentage of total revenue?
John Marr : About right at about 15 %.
Mark Schappel – Benchmark: 15% of total revenue.
John Marr: Right.
Mark Schappel – Benchmark: Thank you. That's all for me.
Operator: The next question comes Jonathan Ho of William Blair. Please, go ahead.
Jonathan Ho William Blair & Company: Hey, guys. Just want to start out with the California deals in terms of the MSA did the larger counties tend to use something like an MSA or potentially do their own process? Just want to get a sense of whether we should look at the MSA as more sort of the smaller counties or whether at all related to county size?
John Marr : I would say the larger counties may use it, but yes, they would be more likely to run their own process and have specific needs that they want to address outside of that. The smaller counties are more likely to utilize it, they're watching closely the decisions that have been made and how those projects are going and in some cases they may even coordinate with one another to more regionally do things. California has got huge differences in the counties. I think Kings County is 150,000 people, obviously, they have counties that have many million people in them. So the smaller end is more likely to leverage MSA, as well as potentially pull in some groups that do some regional things par bar.
Jonathan Ho William Blair & Company: And just in terms of trying to model some of the expenses just wondering for Brian whether Tyler Connect is going to add any additional cost this quarter or whether we should be looking at any sort of unusual spending related to events this year that might shift from last year?
Brian Miller : No, it would be similar to last year. Connect falls in the hardware and other both in both the revenues and the expenses and so you saw that spike last year of a couple million dollars from Q1 to Q2 in the cost of hardware and other and I think you'll see something similar this year.
Jonathan Ho William Blair & Company: Great. Thank you.
Operator: The next question comes from Raghhavan Sarathy of Dougherty & Co. Please, go ahead.
Raghhavan Sarathy – Dougherty & Co.: Thanks for taking my questions. Couple questions. Brian, when I looked at the maybe what you call significant size deals more than 100,000 you signed 11 in this quarter, which was 12 last year even the average size is down yearonyear. Yet even new bookings are up 36% yearonyear. You can talk about some (inaudible ) bookings to this year compared to last year?
Brian Miller : Yes, the biggest deal this quarter there weren't neither quarter had a really large like an Oregon or Maryland size deal in it, but the biggest deal this quarter was the Rhode Island statewide courts deal, which was around six million otherwise it was just really a lot of strength in, I guess what I would call, midsize deal primarily, deals anywhere from a few hundred thousand to a couple million. And so, it was more volume related than buys related. And then as we said we doubled the number of subscription based deals, so 22 cloud deals went in as well. And then also in the bookings number we're seeing a growing number that don't actually show up as new clients, but of renewals of SAS deals. So as we have deals that have been there finished up their initial threeyear, fiveyear arrangement we're see renewals of those into additional terms and those come from bookings as well, but don't fall into that either of those client count numbers of new clients.
Raghhavan Sarathy – Dougherty & Co.: Okay. And then in terms accounts receivable looks like AR remains elevated and I was wondering what was driving AR growth faster than revenue growth?
Brian Miller : AR actually went up a few days compared to the same quarter last year. It's really multirelated to primarily related to the acquisitions we have a higher level of maintenance billings that happened this quarter and so, when you have an elevated maintenance billings you get the receivable, but you don't have the corresponding revenues that go with that so it bumps your DSO's up a bit with we'll see those collections next quarter. We also had a couple of larger deals where we had more significant upfront cash collections where we had I'm sorry, cash billings where we were able to bill larger deposits up front, because of the terms of the contracts. Those weren't collected yet, but were billed during the quarter and again, be expected to be collected next quarter, but there's a billing without a corresponding revenue component, so it's not really an aging issue it's more the nature of the billings that we saw this quarter.
Raghhavan Sarathy – Dougherty & Co.: Okay. Thank you.
Operator: Once again if would you like to ask a question please press star then one. Follow up question now from Brian Kinstlinger of Sidoti. Please, go ahead. 
Brian Kinstlinger Sidoti & Company, LLC: Brian, can you remind us last year what E filings total transitional revenue was and maybe what you estimate it will be this year? Based on your guidance.
Brian Miller: For the full year last year we finish the quarter E filing was at a run rate of a little over $6 million, the fourth quarter was around a million and a half. This year Q1 E filing was about a million seven. So we're on a run rate of a little that's than seven million. We do expect it to grow during the year. It's a little uncertain in terms of how the timing of these things kick in, particularly with some of the ones that are moving towards becoming mandatory. As I mentioned we have a little bit of Texas in there, but it's certainly a number that's less than $10 million it's in our plan for this year.
Brian Kinstlinger Sidoti & Company, LLC: Can you explain do you have a dedicated sales force or is it just an extension now of Odyssey or any courts team? And then separately, John, if you can comment in the many years I've followed you guys buybacks have been very aggressive for the company and we haven't seen them in a little bit so maybe talk about if that's something the board is evaluating right now will you get more aggressive do you think this year? Thanks.
John Marr : Sure. E filings are done with the regular court channel so courts is an independent channel for us. The case management Odyssey people as well as Odyssey filings is done pretty much with the same people. The acquisition we did a couple years ago which was (inaudible) net they brought with them what we call our product specialist, so they do the different people do the demonstrations and when you drill into the details but the channel and the sales management are the same people. The buybacks, obviously, we're thrilled we were as aggressive as we were when stock was at a lower value and fortunately, we did enough of it actually went into debt a little bit, done a number of acquisitions over the last couple of years as well, purchase and built some real estate, so deployed a lot of capital, got a little bit in debt which was fine, obviously, not highly leveraged in relation to our numbers. And now we're out of debt and starting to accumulate some cash, but certainly not at a point where we have to have more urgency in terms of deploying capital. So, I think while we certainly appreciate the reasons why our stock has gone up significantly and agree that those catalysts have significant value I think where we are right now we won't be very aggressive at these levels.
Brian Kinstlinger Sidoti & Company, LLC.: Great, thanks so much.
Operator: Next you have a question from Raghhavan Sarathy with Dougherty & Co.
Raghhavan Sarathy Dougherty & Co. : Yes. Thanks for taking my follow-up questions. You might have mentioned this when do you expect to sign this MSA with the California Sacramento managers association?
John Marr : We simply said very soon. We don't control the process in the coming weeks we'd expect that that would be executed.
Raghhavan Sarathy Dougherty & Co. : Okay. And then one follow up for, Brian. Brian, can you give us some sense, I know you kind of classified this segment a little differently, but give us some sense for the growth rates of different segments of the business and then the enterprise after business segment justice I guess you know.
Brian Miller : We really don't get into breaking out the segment into subsegments too much. We have said that we were expect that courts and justice over the next couple of years would be faster growing. The other business units the ERP side is much mature has a lot more scale now it's harder to move the needle as quickly. And particularly with the E filing opportunities in some of the things we've talked about with respect to courts we expect that to grow faster, but if not explosive kind of growth. The schools business continues to be school specific products continues to be a bit more challenging market in terms of competitive landscape and so that business is growing a bit slower. And the ERP business is growing generally in line with our overall growth rates.
Raghhavan Sarathy Dougherty & Co. : Okay. Thank you. Appreciate it.
Operator: At this time there appears to be no more questions. Mr. Marr, I'll turn the call over to you for closing remarks. 
John Marr: Okay. Thank you, Sue. And thank you all for joining us on the call today. If there are any further questions feel free to contact Brian or myself. Have a great day.